Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Sun Communities Third Quarter 2022 Earnings Conference Call. At this time, management would like me to inform you that certain statements made during this call, which are not historical facts, may be deemed forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Although, the company believes expectations reflected in any forward-looking statements are based on reasonable assumptions, the company can provide no assurance that its expectations will be achieved. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time to time in the company's periodic filings with the SEC. The company undertakes no obligation to advise or update any forward-looking statements to reflect events or circumstances after the date of this release. Having said that, I would like to introduce management with us today, Gary Shiffman, Chairman and Chief Executive Officer; John McLaren, President and Chief Operating Officer; and Fernando Castro-Caratini, Chief Financial Officer. After their remarks, there will be an opportunity to ask questions. For those who would like to participate in the question-and-answer session, management asks that you limit yourself to two questions, so everyone who would like to participate has ample opportunity. As a reminder, this call is being recorded. I will now turn the call over to Gary Shiffman, Chairman and Chief Executive Officer. Mr. Shiffman, you may begin.
Gary Shiffman: Good morning, and thank you for joining us as we discuss our third quarter 2022 results and provide an update of our full year guidance. I would first like to share my best wishes and support for everyone affected by Hurricane Ian. The swift, organized response of our Sun team members in the preparation and cleanup from the hurricane was remarkable and selfless. We are pleased with our results this quarter and year-to-date, and our outperformance demonstrates both the resilience of our properties and our strength as operators. Our portfolio of best-in-class assets in high demand locations is strategically positioned to continue creating value for stakeholders through varying economic cycles. Our proven track record of execution, facilitated by an operational platform, which is second to none, allows Sun to provide continued growth. Our third quarter was exceptionally strong, exceeding the high end of our guidance. As Fernando will detail, we are raising our midpoint of full year FFO guidance. Resilience of each business segment is evident in our results. Manufactured housing, Same Property NOI increased 4.9% for the quarter compared to last year, supported by 4.3% gains in monthly base rent per site, increased occupancy and our ability to manage expenses. Importantly, our UK operations, which are included in our manufactured housing segment, are performing in line with expectations, demonstrating continued resilience amid economic uncertainty. Park Holidays team has been operating the portfolio since 2005 and are cycle tested, having demonstrated consistent execution and value creation through various economic conditions. Similar to how we see new residents trading into manufactured housing in the U.S. during times of economic challenges, we are experiencing continued strong demand for domestic holiday homes in the UK. RV communities continue to experience high demand and transient conversions to annual leases accelerated 30% as compared to the third quarter of 2021. Year-to-date, we have converted approximately 2,000 transient sites to annual leases, which exceeds our full year record set in 2021. Each conversion equates to a 40% to 60% revenue uplift the first year and creates a new stream of recurring revenue. On a Same Property basis, annual RV revenues increased 13.4% and total NOI grew 8.4% compared to the third quarter last year. Monthly base rent per RV site increased by 7% year-over-year. On a combined basis, blended total portfolio manufactured housing and annual RV occupancy was 97.1%, with over 2,300 revenue-producing sites gained year-to-date. Looking ahead to 2023, we are positioned for continued organic growth in manufactured housing and RV as we expect to realize average rental rate increases of 6.3% for manufactured housing and 7.8% for annual RV at the midpoint, both represent material increases on a year-over-year basis. Marinas continued to experience strong performance. Same Marina real property NOI increased 9.6% in the third quarter compared to last year, driven by increased annual boat slip revenue and storage revenue. Demand for slips and storage is persistent and over 85% of the Safe Harbor Marinas have waitlist to join as a member. In terms of external growth, we are and will remain very selective in approaching new opportunities. Since our second quarter earnings call in July, we have closed on $24 million of new acquisitions. We also sold one RV community in California for $15 million. Our development platform continues to be a differentiating and exciting growth driver over the long-term, and we are pleased to have John focused on the pipeline of manufactured housing development communities. During the quarter, we delivered over 170 expansion and greenfield development sites. On the ESG side, we are proud to report that our GRESB score came back in the mid-60% range, which represents a 42% improvement from last year's score. This was only our second year of participating in GRESB and we are pleased to be scoring in line with our peers. Our team continues to work hard to build on this momentum as we enhance our ESG protocols and reporting. To scale, the quality and locations of Sun's properties, along with our unrivaled team, gives Sun a clear competitive advantage through all economic cycles. We are well positioned to continue delivering value to our stakeholders through our proven resilient platform. I would like to thank all of our team members for their ongoing contributions and efforts, which makes Sun what it is today. I also want to congratulate Bruce Thelen, who will take over the Chief Operating Officer role in 2023. Since joining the company in 2018, Bruce has been a vital member of Sun's leadership team. He has consistently grown his responsibilities related to manufactured housing and RV property operations. Bruce and John have worked together overseeing the operations team, and I look forward to Bruce's continued leadership. I will now turn the call over to John and Fernando to speak to our third quarter results in detail. John?
John McLaren: Thank you, Gary. Third quarter results have demonstrated Sun's resilience. For the quarter, Same Property manufactured housing and RV NOI increased 6.4%, driven by a 4.7% increase in monthly base rents per site and a 200 basis point increase in occupancy. Same Property manufactured housing communities recorded a 4.6% increase in revenue and a 4.9% increase in NOI for the quarter compared to the prior year period. Annual RV revenue increased 13.4% in the quarter due to the record number of transient annual lease conversions continuing to build on the success we have been delivering. The record transient to annual conversions, Gary mentioned, translated into having almost 7% fewer sites to rent during the third quarter. Notwithstanding this fact, we increased transient RV revenue 60 basis points during the quarter. Marina's Same Property NOI increased by 9.6% for the third quarter, which was 60 basis points ahead of the high end of guidance. The outperformance was largely driven by increased operating revenue from wet slips and dry storage space demand and expense savings across the portfolio. Our UK portfolio performed well and we are experiencing continued strong demand for holiday homes. Additionally, Park Holidays has proactively locked in utility costs through 2024, which will benefit our residents. The integration of our UK operations continues to advance smoothly and we’ll continue to realize synergies between our team systems, technologies and methodologies over time. Development and expansion activity remains an important contributor to our long-term growth. We continue to entitle land and locations with high structural demand in order to maintain a robust pipeline of future embedded growth. Accordingly, in the quarter and through the date of this call, we purchased four fully entitled manufactured housing land parcels for a total of $20 million that provide an opportunity to develop approximately 800 additional sites. During the quarter, Sun sold 724 new and pre-owned homes in our communities. New home sales prices average $183,000 for the quarter up $31,000 from the prior year. This 21% increase in the past year reflects the high quality and demand to live in a Sun community. The demand to live in a Sun community is also evident as total portfolio Manufactured Housing and RV occupancy reached 97.1% as of September 30. The average rental rate increases for 2023 are expected to be between 6.2% and 6.4% across our MH portfolio, excluding the UK where we expect an average rent increase in the range is 7.2% to 7.4%. For annual RV, we expect rental rate increases of 7.7% to 7.9% and a range of 7.3% to 7.6% increases in Marina rents. As previously disclosed, Hurricane Ian caused significant flooding and wind damage at three RV properties and damage to the sea wall and docks at one Marina all located near Fort Myers, Florida. Prior to the hurricane making landfall, we acted our emergency plan. Our team members, along with third party contractors began restoration work as soon as it was safe to return on site, reorganized convoys of supplies, food and travel trailers to our Florida properties. We cannot be more proud of the entire team and effectively managing through a challenging situation. We expect that our property casualty flood and business interrupt insurance will fully cover us net of deductibles. We are grateful for and humbled by the dedication of our team members and pleased with the company’s performance today. I will now turn the call over to Fernando to discuss our financial results in more detail. Fernando?
Fernando Castro-Caratini: Thank you, John. For the third quarter, Sun reported core FFO per diluted share on a constant currency basis of $2.71, a 28% increase above prior year results and exceeding the high end of our quarterly guidance range. The outperformance was driven by total Marina Real Property, net operating income, interest income, UK corporate tax favorability and lower corporate costs. As of September 30, Sun had $6.7 billion of debt outstanding that carried a weighted average interest rate of 3.4% and has a weighted average maturity of 8.8 years. As of quarter end, our net debt to trailing 12 month recurring EBITDA ratio was 5.7x. Excluding our bank revolving credit and term loan facilities, the remaining $4.9 billion of debt has a weighted average interest rate of 3.4% and a weighted average maturity of 9.9 years. In terms of capital markets activity during the quarter, we repaid $318 million of debt secured by 35 properties, increasing our unencumbered assets to total asset ratio to nearly 79%. We are also in the process of executing on approximately $310 million of mortgage refinancings for a portfolio of properties, which is expected to reduce our variable rate debt exposure to approximately 16%. As mentioned on our last call in July, we swapped GBP400 million of our GBP875 million debt outstanding on our term loan from variable rate to fixed rate through 2025. Lastly, since our second quarter call, we settled all remaining forward equity agreements on approximately 540,000 shares for $95 million in net proceeds. In total for the quarter, we settled 1.5 million shares that netted approximately $276 million of proceeds used to pay down borrowings on our credit facility. Turning to guidance. As summarized in yesterday’s press release, we are increasing the midpoint of full year guidance on constant currency FFO per share by $0.08 to a revised range of $7.32 to $7.38. We are establishing fourth quarter 2022 constant currency core FFO per share guidance in the range of $1.23 to $1.29. At the same property level, we are moderating our full year Manufactured Housing and RV NOI growth expectations by 40 basis points, primarily reflecting revised transient RV revenue expectations for the fourth quarter. The new range represents 6% growth at the midpoint for the full year and implies the 6.6% growth at the midpoint in the fourth quarter. For Marina same-property, we are increasing the midpoint of full year guidance to 6.6%, a 20 basis point increase from the prior range. In the fourth quarter, we expect same-property Marina growth of 6.1% at the midpoint. As a reminder, our guidance includes acquisitions, dispositions and capital markets activity through October 24 and the approximately $310 million of debt financing we are in the process of closing, but it does not include the impact of prospective acquisitions, dispositions or capital markets activities, which may be included in research analyst estimates. This concludes our prepared remarks. We will now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Nick Joseph with Citigroup. Please go ahead.
Nick Joseph: Thank you. So maybe starting on the home sales. If we look at the U.S. they obviously declined year-over-year. How are you thinking about that? Is that a leading indicator of overall demand for the MH portfolio at all?
John McLaren: Hey, Nick, it’s John. Good morning. Hope you’re well. The answer to that is no. On the new home side, primarily what we saw was timing associated with the hurricane, which actually happened on the 28 of September. So it’s just as we were closing out the third quarter and it pushed out anticipated closings that we had lined up in Florida for the – into the fourth quarter. So we’re seeing those closed. It also had an impact on the margin since some of those higher margin sales are associated with those sales, so we expect to pick those back up in the fourth quarter. On the pre-owned side, really it has to do with – fewer residents who want to sell their homes, which gives us less inventory to resell that tracks the same with fewer broker transaction. I think it really speaks again, to the best in class quality of our communities. The lifestyles that our residents have and they’re holding onto their homes is staying longer even as home values continue to increase. So no indicator whatsoever. Just a little bit of timing.
Gary Shiffman: And Nick this is Gary. It’s Gary. I would just add. What’s the average price…
John McLaren: $183,000, which is industry leading home prices.
Gary Shiffman: So I think that’s a good indicator. It’s more of a timing issue.
Nick Joseph: That’s helpful. And then just similar question on the UK side and the impact of the higher mortgage rates and some resets there and how you think that will impact home sales for Park Holidays?
John McLaren: Well, I can tell you Nick that through the first nine months of the year Park Holidays year-over-year growth and home sales is 13%, so very strong demand continues.
Nick Joseph: Thanks. And then just finally, for the $310 million of mortgage debt, what’s the expected rate on that?
Fernando Castro-Caratini: Nick, that’s going to be between 4.5% and 4.6%.
Nick Joseph: Thank you.
Operator: Thank you. Your next question comes from Michael Goldsmith with UBS.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. Can you walk us through the factors that are bringing down the MH and RV same property NOI guidance? I think you mentioned transient revenue as a factor. And just while touching on transient revenue, it looks like same property transient revenue was up 60 basis points, which is the same as last quarter. So after a strong year of transient revenue in 2021 and flat – kind of flattish this year, have we kind of hit the peak of where transient revenue can be?
Fernando Castro-Caratini: Hi Michael, it’s Fernando. So the main component to bringing the range downward for the full year – for moderating that growth for the full year in 2022 is increased – is our expectations for the transient revenue line item. That – there are two effects to that. One, it’s the record number of conversions that we’ve had in the portfolio with almost 2,000 conversions year-to-date, which surpasses last year’s record by almost 20%, and we expect that to continue to climb into the fourth quarter. And you stated it in your question, right? We had a record 2021 on the transient revenue side. So – or expecting a moderation, right, of growth moving forward. And that’s settling into, say, pre-pandemic levels, where, on a same-property basis, that – the transient revenue line item was growing at about 3% per year. Our full year transient growth expectations, inclusive of the fourth quarter, would now be around 3.5% for 2022.
Michael Goldsmith: Got it. And sticking with Fernando, on the topic of expense growth, it was very well controlled in the quarter with 1% growth to down from – a deceleration from 7.3% last quarter. So, what are the factors that kind of went into the expense control? Was it elevated growth last year a factor? And I guess maybe more importantly, how sustainable are – is growth at this kind of like low single-digit levels?
John McLaren: Sure. Thanks, Michael. So the primary driver for the lower operating expense growth would be on payroll, and that would be due to two factors. One is the roll-off of the increase that we put in place in July of 2021, which rolled off at the end of the second quarter. So a more moderate growth from that perspective from that onetime increase. And then in the third quarter, we did put in place some cost containment strategies on the payroll side and on the utility side across MH, RV and Marina. On a year-to-date basis, our expense growth for MH, RV is now at 6.3% and the same percentage for the Marina side. So certainly not expecting, say, 1% growth on a year-over-year basis moving forward, but did put in place some strategies to combat say inflationary pressures that we were seeing at the portfolio.
Michael Goldsmith: Thank you very much.
Operator: Thank you. Your next question comes from Wes Golladay with Baird.
Wes Golladay: Hey. Good morning everyone [Technical Difficulty]. With the – I guess, if you were to strip out the conversion, would you still be looking at a high single-digit revenue growth from that segment? You’ve kind of referred to the 3.5% long-term average, but I’m trying to gauge if that’s more of a high single-digit number on an apples-to-apples basis. And then I guess maybe when you look at the utility expenses, what are you looking at next year when you factor in some of these savings that you can implement?
Fernando Castro-Caratini: On the, let’s say, same-site basis for the third quarter in transient. So removing – stripping the impact of the conversions for the quarter. Growth would have been somewhere between 2% and 3%. So that answers the first question. From a utilities perspective, we have put in place – we put in place CapEx from a containment standpoint that also helps on the environmental side, be that converting the entire portfolio over to LED. We’ve put in 13 arrays to 15 arrays – solar power arrays in California and are evaluating additional 13 arrays to 15 arrays in Arizona and Texas and a few other states. So those are some of the investments that we’re looking at to contain utility costs moving forward.
Gary Shiffman: The other one I’d add, Fernando, while the remote WiFi static controls on all of our club houses or vacation rentals where we can actually control the thermostat settings, the weekends and over the nine new states has made a significant difference.
John McLaren: The only other thing I’d add, Wes, this is John. In most cases, our portfolio utility costs are passed on. Our residents, frankly, are in the same boat as any one single family, but frankly, they have an advantage because our homes are typically smaller and cost less from a utility perspective. So, I think that, that’s an important point to bring up as well as on transient side of business, we capture those increases in the formal rates that we charge for those sites.
Wes Golladay: Okay. Thanks for that. And then, I guess, where capital markets are today, would you consider stepping up the asset recycling to fund your acquisitions of UK properties and I guess, more marinas at this point?
Gary Shiffman: Sorry, Wes, this is Gary. I missed the beginning of the question.
Wes Golladay: I’m saying with capital markets, where they’re at now, equity is obviously not an attractive price sale where the stock is today, but you are still selling a few MH properties. What is the appetite to sell more MH to fund your growth in the new venture in the UK and more marinas?
Gary Shiffman: Sure. I think that – great question. Certainly, capital allocation and the cost of capital is front and center on this company as well as many of the platforms that are out there today as rates. But I think what I would suggest is that our balance sheet has never been stronger. We have strong annual cash flow. I think, in general, we expect to see less cap rate expansion in our asset classes just due to the higher demand. We’re interested in the assets through the fact that they have historically demonstrated cash flow stability, resilience and strength through all economic cycles. We have seen cap rate expansion in what I’d call a less than institutional quality properties that some would not be interested in, and we look towards dispositions when we feel the properties cannot contribute the same amount of growth as the balance of the portfolio. Oftentimes, those properties come to us as part of a larger transaction. So, I think that we’re always looking at asset managing our properties, but there is no inclination at this time to sell properties and acquire properties in the UK. In the UK, we won’t lose any opportunities. We’ve actually been able to cherry-pick, if you will, 14 property acquisitions since we bought the Park Holidays platform. So plenty of opportunity there with higher yields, higher opportunities. So, while we always take a look at dispositions and reallocation of our capital, there’s nothing that I would point to right now. Including, fact of the matter is that the pound is down against the dollar, giving us theoretical greater buying power over there. But as we look at things on a currency basis, that’s not something that we are looking specifically to take advantage of. We’re really very, very disciplined watching cost of capital and matching it up and see opportunity to invest going forward. So that’s our approach. Last thing I’d add is the fact that if this had to come at a time when we were more pencils down on the sideline watching for opportunities. We got an abundance of growth to extract from the large amount of acquisitions we’ve executed on over the last 12, 18 months. So a lot of internal opportunity as well as the opportunities related to expansion and development that John’s working on.
Wes Golladay: Yes, great. Thanks for the time, everyone.
Operator: Thank you. Your next question comes from John Pawlowski with Green Street.
John Pawlowski: Good morning. Thanks for the time. I just have a few follow-up questions on the UK business. John, you mentioned home sales were up 13% year-to-date. Could you give us that same statistic for the third quarter?
John McLaren: Actually, John, don’t have that figure right in front of me. We can follow back up to you on that. Apologize. The same – call it the same store figure for home sale revenue was up around 13% for the third quarter.
John Pawlowski: Okay. For the third quarter, all right. And then can you just give us a sense, Fernando or John, what drove the reduced guidance for the UK NOI guidance that on the – even on a constant currency basis?
Fernando Castro-Caratini: So John, I think the primary driver there would be a small adjustment to the seasonality of the Park Leisure transaction. As you’ll remember, that closed at the end of the second quarter. And that’s about $1 million shifting from the second quarter to the third. But on a constant currency basis for the third quarter, we did perform in line with our expectations. So nothing more from that perspective.
John Pawlowski: Okay. Last one for me, just on two more volatile cash flow strains of the UK business, the holiday rentals and holiday home sales. I’m aware of the long-term track record of UK, the Park Holidays team they want to grow the home sales. I’m just curious, every recession is different. So when you talk to the Park Holidays management team where they say reasonable bear cases for home sales and holiday rentals, NOI streams if we are on the precipice of a recession?
Gary Shiffman: John, I think the way I’d answer that is, I know there’s a lot of discussion about the macro headwinds that are out there. But I kind of view it that’s it be a tailwind. Okay. And then for us, and before of the thesis that we shared when we announce the acquisition originally as an example, it is more difficult because of Brexit to travel to the continent. Now it’s gotten more expensive because of the pound devaluation. It’s still fragmented, still affordable vacation, and it’s still easy for most people going there because of traveling within a two-hour radius to get to the properties. And it’s a very established common form of vacation that takes place in the UK. And so, I think that, we started seeing higher inflation and things like that. But in the face of that, we’re growing home sales in the UK. So I think that looking down the road, I mean, obviously, we’ll have guidance when we come out with our fourth quarter results in February. But I think the thesis holds for everything that we thought when we acquired the portfolio back in April.
John Pawlowski: All right. Thank you for the time.
Operator: Thank you. Your next question comes from John Kim with BMO Capital Markets. Please go ahead, sir.
John Kim: Thanks. Good morning. I just wanted to clarify the four properties impacted by Ian are not operational and there’s taken out of the same store pool, is that the case?
Gary Shiffman: Hi, John. The three RV properties are currently not operational and would be taken out of the same store pool from a performance standpoint. We will consistent with prior practice. We will be putting in an adjustment for the expected business interruption proceeds that we expect to receive for those three properties in the fourth quarter. So they would be out of same property. But the productivity or the expected productivity net of any deductibles would be in our earnings. We would then at some point in the future actually collect on the proceeds from business interruption.
John Kim: And any clarification you have on the payment of the business interruption insurance? I know you’ve kind of netted that out on your charge for the quarter. But I also wanted to ask on a similar question on the ad back that you had on the charge to Core FFO? I realize it’s kind of deemed as a one-time item, but hurricanes seem like it’s occurring more than once in a while in Florida. So I’m just wondering, if you had considered this more of a cost of doing business rather than a one-time item?
John McLaren: Yes, John, I view – this is John. I view it as a one-time item. We don’t deal with events of this magnitude very often. And the last time we dealt with the storm of this magnitude was five years ago. Before that probably a decade or more, I mean, Ian was the first one I dealt with [indiscernible].
John Kim: And then how confident are you on this $17.7 million of insurance proceeds?
Fernando Castro-Caratini: That is – at this time, that is our best estimate of what we will recover from an insurance perspective. We’ll update the market if those estimates were to change.
John Kim: Okay. Great. Thank you.
Operator: Thank you. Your next question comes from Samir Khanal with Evercore ISI. Please go ahead, sir.
Samir Khanal: Hey, Gary or John. I guess on the MH front, given where CPI is running sort of over 8% and then you have the adjustment to social security. Was there the ability to maybe even push rates higher on the MH side? Maybe walk us through kind of your process of getting that 6.5% push to the residents at this time?
John McLaren: Yes. Hey, Samir, it’s John. Thanks for the question. Appreciate it. Here’s how we think about it. We view rent increases like a marathon versus a sprint. I think that I probably shared this Gary a lot of times, but the most expensive site we have in our portfolio is a vacant one. And I think that our strategy has stood the test of time. For over 25 years we’ve delivered positive revenue and NOI growth each and every year, while others have seen the ups and downs. We continue to deliver long-term cash flow stability. We maintain a solid relationship with our resident base, which is also our sales force that brings us an industry leading occupancy growth that we’ve had. And I will add that, at $183,000 a home we command average home sale price that far exceed virtually all competitors in our asset class. I think that illustrates the unmatched quality and value of our communities represent. So I think we view our strategy as well balanced across all of our stakeholders, including our residents who live in a well maintained community and see value creation in their homes. And the bottom line is we have the ability to match our expense increases at over 90% of our MH sites. But for the reasons I just share is why we’re comfortable with the range where we’re at for 2023.
Samir Khanal: Got it. And then I guess, Fernando, just on the balance sheet just looking at the supplement, I think about 120 million maturities in 2023. Kind of what’s the plan to address that? Is it through primarily refinancing or paying down the debt, maybe you can address that?
Fernando Castro-Caratini: Thanks, Samir. Good question. Yes, we have, as we look out at our maturities over the course of the last couple years, we have – the next couple of years, we have no looming, no large maturity towers that would, let’s say, rerate our debt stack. As Gary mentioned previously on the call, we have very strong free cash flow growth that in the short term can be used to pay down anything from a revolving credit facility or these maturities coming due. We also from time-to-time have looked to walk in the treasury rate over for future issuances. At this time, we have about 200 million locked in below 3% on the 10-year treasury. So we’ll be looking at pricing that’s more advantageous than what you would get in the market today. But it's all part of our capital strategy. So we do believe that great flexibility with regard to our maturities or any investments that we would make over the course of the next year.
Samir Khanal: Got it. Thank you very much.
Gary Shiffman: Thank you, Samir.
Operator: Thank you. Your next question comes from Brad Heffern with RBC Capital Markets. Please go ahead sir.
Brad Heffern: Yes. Thank you, Operator. So on the UK the rate growth outlook was stronger than at least, we had anticipated. I guess how does the 7.2% to 7.4% guidance compare with historical rate growth? And how do you think about balancing higher rates with demand just given the weaker economic backdrop in the UK?
John McLaren: I think what we're seeing with a midpoint of 7.3% is higher. I mean they typically have been in the 5s. So it's markedly higher than it was last year historically. The second part of the question, Brad?
Brad Heffern: Just how do you think about balancing higher rates with demand given there's obviously a lot of recessionary pressures in the UK?
John McLaren: I think, once again, I'd say what I shared a little bit earlier that I think that with what's going on in the UK and the difficulty to go other places and the devaluation of the pound, I think that frankly, that drives more domestic vacationing. And it drives, as we're seeing with the home sales growth that they've produced over the course of 2022, considerable demand even over last year, which was a pretty record year for them as well as in terms of home sales.
Brad Heffern: Okay. Got it. And then is there anything that you can share on forward booking trends in the RV business?
John McLaren: I think bookings for Q4 or maybe pacing, and Fernando shared this in guidance, facing slightly below the range last year, but pretty close to tracking the same. We'll provide guidance in terms of what our forward bookings look like into first quarter and second quarter when we release earnings next time around.
Brad Heffern: Okay, thanks.
Operator: Thank you. Your next question comes from Joshua Dennerlein with Bank of America. Please go ahead sir.
Joshua Dennerlein: Yes. Everyone a quick question, what drove that incremental $0.11 of business combination expense and other acquisition-related costs and the revised guidance?
Gary Shiffman: Hi Josh, that would be a combination of expenses related to the UK transaction that came in through business combination as well as in the quarter; we did walk away from a number of transactions that would include the deal costs.
Joshua Dennerlein: Okay. Walking away from those deals, was it just related to the cost of capital or just – or something else driving that?
Gary Shiffman: The deal costs are directly related to the fact that cost of capital changed. We negotiated many of these transactions over a period of months getting through due diligence and other forms of getting to closing and as the cost of capital to debt, et cetera increased. We're very disciplined with our expectations with the sellers. As I shared earlier, the sellers' expectations are based on world as it existed six months, 12 months ago. And we believe a lot of those opportunities will come back to us in the future, but matching up the cost of capital with the returns caused us to walk away from numerous deals. And we are still in negotiations at this time on transactions. In some cases, we do get adjustments through satisfactory on the price side of things. But when we don't and we can't justify the yield and the returns, based on the cost of capital, we will walk away from the transactions in a disciplined manner.
Joshua Dennerlein: Appreciate that. And then one other for me, it looks like G&A increased $7 million quarter-over-quarter. What was kind of driving that uptick?
John McLaren: Uptick, Josh, would be that deal costs are recognized in G&A. So that would be the primary driver in the sequential quarter-over-quarter increase.
Joshua Dennerlein: Okay. So I guess thinking about for 4Q and beyond, that $7 million kind of reverses. Is that the way to think about it?
John McLaren: That's correct.
Joshua Dennerlein: Okay, thank you.
Operator: Thank you. Your next question comes from Anthony Hau with Truist Securities. Please go ahead sir.
Anthony Hau: Good morning guys. Thanks for taking my question. Can you guys remind me of the underwriting assumptions for Holiday Park expansions in terms of return, cost per site and lease-up time line? And how many sites do you expect to develop annually over the next couple of years in the UK portfolio?
John McLaren: I think – so for this year, Anthony, it's John. Thanks for the question. This year, we've already completed roughly 700 sites of expansion development in the UK. And I think previously we stated that we expect to stay in that range. Obviously, we'll match that up with demand as we go. I think I have to circle back with you in terms of the economics associated with the – returns associated with those sites, which we would be happy to do.
Fernando Castro-Caratini: Anthony, they would – the returns would mirror our expected returns for expansions here in the U.S., so call it in the low teens from an IRR perspective.
Anthony Hau: Okay. And how long does it usually take to like lease those sites up? Is it similar to the MH portfolio to you in the U.S.?
John McLaren: I think we'd see that those sites to get leased up, along with other vacant sites, they have in the portfolio over the course of a given year that they've developed over the year.
Anthony Hau: Okay. And my last question is like for G&A. So when the initial guidance came out last year, I think G&A was expected to be $235 million, but it excludes the Park Holidays. I think G&A from Park Holidays is around $25 million to $27 million. So in total, that will be like $260 million. At this current pace, it seems like G&A will be mid $240 million in 2022. So what is the difference between the initial guidance and now?
Fernando Castro-Caratini: Anthony, on an annualized basis, if you analyze our year-to-date figure, we would be at around 200 and the low 250s. The low end of our range, inclusive of Park Holidays when we gave guidance, was at about $260 million. There is some translation from a currency perspective with G&A from the UK, to the tune of about $3 million to $4 million in translation. And the rest, we have – we are – we did save over the course of the third quarter on payroll at the corporate level. So we are taking some measures from that perspective with some delayed hiring and things of that nature.
Anthony Hau: Okay, thanks.
Fernando Castro-Caratini: Thank you, Anthony.
Operator: Thank you. There are no further questions at this time. I would now like to turn the floor back over to Gary Shiffman for closing comments. Please go ahead, sir.
Gary Shiffman: I want to thank everyone for participating on the call today and remind everyone that John, myself and Fernando and Stephanie are all available for any follow-up questions that you might have. And we certainly look forward to sharing results year-end fourth quarter. Thank you.
Operator: This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for participation.